Operator: Good morning. Welcome to the Wendy’s Company Earnings Results Conference Call. [Operator Instructions] Thank you. Greg Lemenchick, Senior Director, Investor Relations and Corporate FP&A, you may begin your conference.
Greg Lemenchick: Thank you and good morning, everyone. Today’s conference call and webcast includes a PowerPoint presentation, which is available on our Investor Relations website, irwendys.com. Before we begin, please take note of the Safe Harbor statement that appears at the end of our earnings release. This disclosure reminds investors that certain information we may discuss today is forward-looking. Various factors could affect our results and cause those results to differ materially from the projections set forth in our forward-looking statements. Also, some of today’s comments will reference non-GAAP financial measures. Investors should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measure at the end of this presentation or in our earnings release. On our conference call today are President and Chief Executive Officer, Todd Penegor, will give a business update; and our Chief Financial Officer, Gunther Plosch, will review our 2022 first quarter results and provide an update on our outlook for the year. From there, we will open up the line for questions. As a reminder, we will walk through our long-term strategies in detail as part of our upcoming Investor Day in June. With that, I will hand things over to Todd.
Todd Penegor: Thanks, Greg and good morning everyone. I am extremely pleased with the meaningful progress we made against our three strategic growth pillars in the first quarter, reinforcing the strength and resiliency of the Wendy’s brand. We achieved a second consecutive quarter of double-digit 2-year Global same-restaurant sales, reaching 15.4% as we lapped one of our best quarters of all time in the prior year. This was an acceleration versus our Q4 on a 2-year basis, which highlights the momentum we have in our business across the globe. Our international business achieved another outstanding quarter with widespread success. We have truly shifted past recovery into a compelling growth story with substantially all our markets achieving sales growth versus 2019. Our Latin America and Caribbean region is leading the charge with 2-year same-restaurant sales results approaching 30% alongside continued strength in Canada, where we continue to take market share and solid results in our newest market, the UK. In the U.S., our growth continued despite rolling over stimulus benefits from the prior year and the impact from bad weather early in the quarter. This was on the strength of a few things: favorable innovation in our hot honey chicken sandwich and biscuit, fun and distinctive advertising on one of the biggest stages in the world at March Madness, continued positive customer response to our core improvements like our hot and crispy fries, and an improved operating environment with increased staffing levels and more dining rooms open throughout the quarter. As we sit here today, we have almost all our dining rooms open across the U.S. We are also pleased that we competed very well in the quarter versus our peers as we grew dollar share once again in the quarter. This keeps our streak of growing or maintaining our QSR burger dollar share to an outstanding 11 consecutive quarters. Now, let’s take a look at our three strategic growth pillars. We achieved one of our best quarters in our history for unit growth, opening more than 90 new restaurants, which is a significant acceleration compared to Q1 and Q4 of last year. This was right on plan. And with the strong pipeline we have in place, we remain on track to grow our net new units by 5% to 6% in 2022. We are also very excited about our recently launched Own Your Opportunity campaign, where we have over 400 parties who have expressed interest in becoming a new Wendy’s franchisee. Our digital business accelerated to over 10% of total sales, driven by gains across the globe. Internationally, our digital mix reached approximately 17% as our Canadian digital business, which recently launched in-app offers, continued to grow. In the U.S., we reached approximately 10% digital sales mix, shattering records along the way. Our March Madness promotions proved to be a huge success. They not only drove more people into our app, resulting in over a 10% increase in both total and active users versus Q4, but also an increase in customer frequency and digital sales during the promotion. Rounding out our growth pillars, we delivered solid results at the breakfast daypart, where we were able to grow our morning meal dollar and traffic share in the QSR burger category, proving that our strong offerings continue to resonate with our customers. The breakfast environment was no doubt challenged across the industry in Q1 impacting our full year breakfast sales growth expectations. We believe that these are short-term headwinds and our performance relative to the industry gives us confidence in our ability to hit the low-end of our goals to grow breakfast sales by 10% to 20% for the full year and reached average weekly U.S. breakfast sales of approximately $3,000 to $3,500 per restaurant by year end. As of last week, we also officially launched breakfast in our Canadian restaurants. We are thrilled about the excitement we are seeing in the market and we have gotten off to a great start. Finally, at the start of the second quarter, we announced an increase in our share repurchase authorization to $250 million following the successful completion of our $500 million debt raise transaction, which highlights our commitment to returning cash to our shareholders. Getting this deal completed in this tough market was an incredible feat that highlights investor confidence in our long-term growth plan. As we look ahead, we are committed to driving our restaurant economic model, which supports the success of our long-term growth initiatives and is evident in the financial health of our franchisees. We are laser-focused on our mission to build our breakfast daypart, accelerate our digital business and expand our footprint across the globe. We are confident that we have the plans in place to reach our goals, and I could not be more excited to share more about our strategies to deliver a new year of growth at our Investor Day on June 9. With that, I will pass it to GP to talk through our first quarter financial results.
Gunther Plosch: Thanks, Todd. Our first quarter results highlighted the strength of our financial formula in a challenging macro environment, showcased by our continued sales momentum and an improvement in our company-operated restaurant margin as we exited quarter one driven by strategic pricing increases alongside an improving labor environment. Our global system-wide sales grew 4.2%, supported by our footprint expansion and very strong global same-restaurant sales growth driven by another remarkable quarter from our international business and continued momentum in the U.S. The year-over-year company restaurant margin decrease was driven primarily by higher-than-expected commodity and labor inflation in the high-teens and mid-teens respectively, customer count declines as we encountered some tough weather early in the quarter and left over stimulus benefits from last year and the impact of investments to support our entry into the UK market. These impacts were partially offset by the benefit of a higher average check driven by pricing that was just below food-away-from-home inflation of 5% to 6%. We also benefited from the net favorable impact of the acquisition and disposition of restaurants in 2021. The increase in G&A was in line with our expectations. It was driven by higher salaries and benefits as a result of investments in resources to support our development and digital organizations, increased travel expenses as we lapped COVID-19 restrictions, a higher stock compensation accrual and technology costs primarily related to our ERP implementation. Adjusted EBITDA decreased to $107 million, primarily driven by higher G&A expense and the decrease in company-operated restaurant margin. These decreases were partially offset by higher franchise royalty revenue. The decrease in adjusted earnings per share was driven primarily by a lower adjusted EBITDA partially offset by fewer shares outstanding from our share repurchase program and a decrease in interest expense as a result of our successful debt refinancing completed in the second quarter of 2021. The decrease in free cash flow resulted from an increase in payments for incentive compensation for the 2021 fiscal year paid in 2022, lower net income and cash pay for cloud computing arrangements, primarily related to the company’s ERP implementation. Let’s turn to our outlook for 2022. Our financial outlook for 2022 remains unchanged from the update provided following the completion of our debt raise in April. We believe we have the right mix of pricing, strong marketing programs, continued acceleration of our digital sales and global unit growth to support our financial targets. We continue to expect strong global system-wide sales growth of 6% to 8%, with over half driven by same-restaurant sales and the remainder driven by our 5% to 6% unit growth. Our adjusted EBITDA outlook of $490 million to $505 million remains unchanged. We are expecting a slightly lower company-operated restaurant margin of 14.5% to 15.5% for the year driven by higher commodity inflation, which we now expect to be in the mid-teens for the full year. This is being partially offset by higher expected pricing in the mid to high single-digits. We know we are not alone in facing rapidly rising inflation, but we believe we can manage through this with the right pricing levels to ensure that we maintained our strong value perception while protecting the restaurant economic model. Finally, we are reaffirming our outlook for adjusted EPS of $0.82 to $0.86, CapEx of $90 million to $100 million, and free cash flow of $215 million to $225 million. To close, I would like to highlight our capital allocation policy, which remains unchanged. Our first priority remains investing in profitable growth and we are continuing to showcase this. Today, we announced a declaration of our second quarter dividend of $0.125 per share, which aligns with our capital allocation policy to sustain an attractive dividend payout ratio of more than 50%. Lastly, we plan to utilize excess cash to repurchase shares and reduce debt. We previously announced the addition of $150 million to our existing share repurchase authorization following our debt raise transaction. This brings our total authorization to $250 million expiring in February of 2023. We intend to utilize the remaining proceeds from our debt raise transaction in accordance with our capital allocation policy. We are fully committed to continue delivering our simple, yet powerful formula. We are an accelerated, efficient growth company that is investing in our strategic pillars and driving strong system-wide sales growth on the backdrop of positive same-restaurant sales and expanding our global footprint, which is translating into significant free cash flows. With that, I will hand things back over to Greg.
Greg Lemenchick: Thanks, GP. As we previously announced, we will be hosting a virtual Investor Day on Thursday, June 9. During this event, we are planning to provide an update on our long-term strategic vision and reintroduce our long-term outlook, including updates on how we believe our U.S. and international businesses will deliver a new year of growth across our three strategic growth pillars. The presentations will begin at 9:30 a.m. Eastern Time. It will be followed by a 1-hour live Q&A session, concluding at approximately 12:00 p.m. Eastern Time. The event will be accessible through our Investor Relations website, irwendys.com. Now, turning to our second quarter investor outreach events. Please note that at the end of this week, we will enter into a quiet period as we prepare for our Investor Day in June. The day after our Investor Day, we plan to do an NDR with Evercore in New York on Friday, June 10. We will then attend the Oppenheimer Virtual Conference on June 15, followed by an investor call on June 16 with Kalinowski Equity Research. Finally, we will round out the month with two West Coast NDRs, the first in LA with Piper Sandler on June 21, followed by one in San Francisco with Morgan Stanley on June 22. If you are interested in joining us at any of these events, please contact the respective sell-side analyst or equity sales contact at the host firm. Lastly, we plan to report our second quarter earnings and host a conference call that same day on August 10. As we transition into our Q&A section, I wanted to once again remind everyone on the call that due to the high number covering analysts, we will be limiting everyone to one question only. And with that, we are ready to take your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Andrew Charles from Cowen. Your line is open.
Andrew Charles: Great. Thanks. It looks like the breakfast mix of sales based on what was disclosed in the Q ticked down closer to 7% in the quarter from about 7.8% in the fourth quarter. So I was wondering if you could talk a little bit more about the breakfast headwinds that you called out in the quarter that’s leading to target the low end of 10% to 20% full year guidance?
Todd Penegor: Yes. Thanks for the question, Andrew. As we looked at the breakfast business in Q1, the category was a little bit softer than we had anticipated. Clearly, weather in January and February had an impact on the breakfast business. Omicron early in the quarter had an impact on the breakfast business. And what we did see is the category softened a bit on the breakfast daypart. That said, we gained dollar and traffic share in the QSR burger category in Q1 at the breakfast daypart and we are one of very few to do that. So we are seeing some nice momentum within that breakfast daypart. There is some seasonality every year to breakfast. And we are feeling really good about the plans that we have in place for the rest of the year to continue to drive awareness, to drive trial and you have seen that as we started Q2 with the biscuit promotion, which has brought some folks back into the breakfast daypart as we move past kind of the winter months and people are starting to return into their morning routine. So we are feeling very confident that we can get to the low end of that 10% to 20% growth on a full year basis and really be squarely in that $3,000 to $3,500 per week per restaurant by the end of the year.
Operator: Your next question comes from Gregory Francfort from Guggenheim Securities.
Gregory Francfort: Hey, thanks for the question. Just any update on kind of how REEF kitchens is going and the plans to accelerate units there this year, the next couple of years? Just any thoughts generally on kind of maybe how those are performing would be helpful? Thanks.
Todd Penegor: Yes. Just a few thoughts on REEF. So, as we sit here coming on at the end of the first quarter, we have over 60 REEF units open. As you know, we are opening them in the UK, Canada and in the U.S. As we look at where some of our best performing REEF kitchens are, they have been in the international locations and we continue to have great momentum there. And we are starting to build out their footprint here in the U.S. and are very confident that they can provide access to our brand in a lot of the urban locations where we don’t have restaurants yet today. We are still building the sales in those restaurants are still building awareness, but we are partnering closely with the REEF team to continue to make sure that they are in a position to win and they are really focused on reallocating their resources towards their profitable restaurant businesses to ensure that they grow with us and support our growth moving forward.
Operator: Your next question comes from Brian Bittner from Oppenheimer.
Brian Bittner: Thanks. Good morning. My question is on first quarter results and the outlook. As it relates to the first quarter results, they were slightly below the analyst communities forecast specifically on EBITDA, but I also realize you don’t have specific first quarter guidance out there. So the question is, were the results in line with your expectations or did you need to raise your internal expectations for the remainder of the year in order to keep your full year EBITDA guidance in place? Any color on that would be helpful?
Todd Penegor: Yes, I will start with the top line and then have GP talk a little bit about the bottom line. On the top line, notwithstanding some of the impacts that we saw on weather in January and February, we were on our plan. So that a little bit below the plan because of those weather impacts, but on track with what we thought we would be doing internally and that was on the top line. On the bottom line, I will let GP comment, but we did see a little more headwind early on in the quarter from commodities out of the gate, but we have some nice progression on margin enhancement throughout the quarter. GP?
Gunther Plosch: Yes. Good morning, Brian. Yes, the first quarter from a margin point of view did not fully go to plan. We missed sales slightly that obviously created leverage pressure, but more importantly, commodity and labor inflation was a little bit higher than what we expected. Nobody – you called it on the prepared remarks we have commodity inflation in the high-teens and labor inflation in the mid-teens. so, a decent amount of headwind that explains the majority of the – of margin progression versus the prior quarter. We have taken pricing in P3 that translated already in the acceleration in our restaurant margin in P3. As you have seen, our margin for the quarter was 11.6%. The P3 margin was actually 14%. In order to get to our outlook, we are taking more pricing in the second quarter. Therefore, from a fiscal year point of view, the pricing is stepping up from kind of mid-single pricing expectation that we talked about last time to mid to high single digits. That is then translating clearly in margin improvement starting in the second quarter. So we’d expect to sequentially improve. Combined price increases with less inflationary pressure in the year to go, we are comfortable with the margin guidance of 14.5% to 15.5%. To be clear, the margin guidance is not counting on any new pricing after quarter two. We think we have actually more pricing power left. If obviously, inflationary pressures are going to accelerate further, we will be stepping in to take more price. I have to say we are taking a long-term view on the business. We want to make absolutely sure we are attracting new traffic into our restaurants. I think we are doing a good balancing act on managing inflationary headwinds with rest economic model. And it’s really reflected our margin guidance. As you might have picked up from the prepared remarks, the guidance includes a headwind for our UK restaurants in the investment we are making there of about 50 basis points. So actually, if you back that out, the U.S. margin is sitting between 15% and 16%. So this is basically in line with the pre-COVID margins we had back in 2019. The only difference is we are basically way more margin pressure – more commodity pressure and labor pressure than what we had back in ‘19. To complete the picture, so with all the work that we are very confident on the margin picture, the margin outlook, we have tightened the G&A outlook a little bit and changed the range but we have shifted down a little bit. We also have a little bit more income on net franchise fee income due to a little bit more franchise fleet activity. So that hopefully – was a long answer, hopefully explains the question.
Operator: Thank you. Your next question comes from Jeff Farmer from Gordon Haskett.
Jeff Farmer: Thank you. On the last call, you noted that I think it was roughly one-third of your customers are making less than $45,000 per year. I’m just curious what you’ve seen from this guest segment in recent months? And is this customer income mix similar to what you’ve seen or what you would see from your other quick service peers, meaning do they also see roughly one-thrid of their customers under $45,000?
Todd Penegor: Yes. On the consumer segmentation, it’s roughly the same across all the QSR. What we’ve seen in the first quarter kind of bucketing it at the under $75,000 cohort of customers, we have seen some of those folks start to slow on the traffic within the category, but that’s been made up for by the folks making over $75,000. So on whole, we’re hanging in there pretty well with some of the shifts between the do, and that’s really why we’re working so hard on our calendar to make sure that we’ve got digital offers in our app, continue to work to make sure that we have a 4 for $4 offering out there, trade folks up into the $5 Biggie bag, which is compelling value, do the things that we need to do on the innovation front to continue to keep our menu fresh and on the top of mind for consumers to come in and even drive things like the buck biscuit trial promotion that was in the market to start the year to make sure that we can continue to have our customers back, bring them in, make sure that we’re focused not only on driving dollar sales, but driving traffic. And what we are really pleased within Q1 with all of that backdrop is we did again gain dollar share in the first quarter. So we’re now 11 consecutive quarters of holding or gaining dollar share. And in the quarter, we’re able to hold traffic share on the all-day QSR burger segment.
Operator: Thank you. Your next question comes from Chris O’Cull from Stifel. Your line is open.
Chris O’Cull: Thanks, good morning, guys. Todd, how are U.S. franchisees reacting to the margin pressure and even rising interest rates? I’m just trying to understand how these factors might affect the willingness to open new units or even just make investments in the business.
Todd Penegor: Yes. No, as you think about the partnership that we’ve always had with our franchise community, it’s really tight. And we’re regularly meeting with them to make the right calendar adjustments, to make sure that we’re still focused on our one more visit, one more $1 strategy. So we’ve got that good high loan calendar in place, continue to drive folks into our app, and really partner with them to drive a lot of profit enhancement actions along the way. What we need to do on price, how we continue to hold in there nicely on mix, how we trade folks up with great innovation in the rest of the daypart as well as breakfast. And then a lot of work to really take out some of the complexity in the back of the house of the restaurants, and we continue to drive op simplification to make sure that we manage the profitability story. As GP said earlier, we’re starting to build margin. He talked about P3, we talked about additional pricing actions in the – into Q2. And as we think about the last 2 years, we’ve had a lot of momentum in our business. We talked about record profits in 2020. We’re collecting our franchise financials right now, and I’ll let GP talk through that.
Gunther Plosch: Yes. Todd, we have preliminary financials. We will finalize it at kind of show the full detail at Investor Day, but the headline is record profit for the U.S. franchise system in 2021. That’s positive. Leverage ratios on their balance sheet are basically unchanged. And as we look at our benchmarks, our franchises are less levered than the industry benchmarks. As a result of it, we feel comfortable that we’re really going into clearly a tougher time with very healthy balance sheet, record profits and therefore, it’s still a confidence in the growth algorithm for our brand and for our system.
Todd Penegor: So net-net, Chris, what you’re really seeing is that we’ve had some great momentum on the unit development in Q1. We’re still comfortable with the strong pipeline that we have in place and the commitments that we have to deliver on the new restaurant openings this year that our franchisees are in a position to get to that 5% to 6% net unit growth during the course of the year. Supply chain is a little more challenged, and the team has done a great job really getting ahead of making sure we’ve got all the components to get to those openings this calendar year.
Operator: Thank you. Your next question comes from Dennis Geiger from UBS.
Dennis Geiger: Great. Thank you. I was wondering if you could talk a little bit more about the implied same-store sales growth for the rest of the year from here. It sounds like Todd, you said kind of 1Q sales were basically in line, excluding weather, and I know you called out a solid calendar for the rest of the year. But wondering if there is any more color you could provide on thinking about rest of the year drivers there, cadence, anything with stimulus lapse, anything else on kind of rest of year sales? Thank you.
Todd Penegor: Yes, a few thoughts on that. What we’re really proud of from Q4 into Q1, we saw our 2-year same-restaurant sales accelerate nicely. And we’d expect it to accelerate even further into Q2 as we lap over a very strong from a year ago. But when we look at the 2-year stack, we expect another build into Q2. We always thought that our 1-year same-restaurant sales would be a little softer in the first half as we lap over those big comps and then start to accelerate in the back half of the year. That was our expectation. And even in the back half of the year, we will still see double-digit 2-year comps, maybe not to the full extent that we saw in the front half of the year is just balancing out against the year-on-year comps that we’re managing against. And if I look at the rest of the year, the reason why we have so much confidence is just a tremendous amount of opportunity moving forward, right? We’re starting to get more dining rooms open. We’ve got most of our dining rooms open as we stand here today. We’re starting to see extended hours of operation pick up nicely here in the second quarter. So we’re getting a little bit later into the evening with our restaurants open. The calendar is chockful with some good innovation against many crave in the back half of the year. We’ve got some new innovation coming on the breakfast daypart, as we’ve talked about in the past. We continue to have a great partnership with the franchise community to make sure we have digital offers to drive folks into the digital arena. And we’re really working hard to make sure that we got a better mobile takeout and better mobile delivery play moving forward by getting racks into the restaurant, so we can get our consumer in and out quicker to really have an efficient take-out experience in our restaurants. So those things really line up to give us a lot of confidence that we can continue to drive the business moving forward. And we’ve been growing share, as I’ve talked about earlier, and our expectation is we’re going to continue the momentum throughout this calendar year with those initiatives.
Gunther Plosch: And Dennis, I would say, on top of all the tailwinds that Todd talked about, we definitely expect also acceleration in pricing, as I talked about in my previous answer. Positive mix, while we have actually seen positive mix in the first quarter, there is really positive mix on top of positive mix. So marketing programming, as Todd said, is working well. And as you know, 2nd of May, we launched Canadian breakfast. We do expect on the year to lift the international SRS by 3% to 4%. So obviously, it is back-end loaded mechanically, that creates even a little bit more tailwinds for the year to go.
Operator: Thank you. Your next question comes from Jeffrey Bernstein from Barclays.
Jeffrey Bernstein: Great, thank you. As you mentioned earlier, it seems like perhaps we’re looking at a slowing macro. I think most investors think quick service is well positioned versus the rest of the industry in that type of environment. But I’m just wondering how you think about Wendy’s within quick service? I know Wendy’s is often positioned at the higher end of QSR. And especially, I think you noted that the lower end of the consumer is slowing in their visitations. So I’m just trying to better understand your outlook for the rest of the year in that environment. I know you mentioned you think you have confidence in further pricing power. Just wondering how you maybe track elasticity. Just trying to get a sense for your confidence in that comp acceleration and what will likely be a slowing macro.
Todd Penegor: Jeff, we continue to watch a lot of metrics and one that we’re really focused on is worth what you pay. And that’s not just kind of the price of our goods, but it’s the overall experience, it’s the quality of the innovation, it’s the news that we bring to the category every single day. And as you say, QSR is the place to be. U.S. demand is generally strong. Wage growth still there, savings are still higher than historical levels, but inflation is being noticed by the consumers. And that’s why we continue to construct our calendar with things like a focus around a $5 Biggie Bag, nice trade-up from 4 for $4 that will drive consumers into our restaurants. But we will also continue to have some great news on the rest of the daypart to drive a lot of innovation move our business forward, speed, convenience, affordability of why folks continue to come back to QSR. We say that consistently time and again. But we’ve done a lot of work to really differentiate around the quality of what we deliver in the restaurant. The work we’ve done on the hot and crispy fry guarantee. The work that we’re doing to roll out DSG 2.0 is to have hotter and juicier hamburgers. The work that we do to continue to improve our speed of service, leveraging our digital initiatives and putting racks into the restaurant, get our dining rooms open, those are all things that have us well positioned with relative value and not just in the QSR space, but relative value to fast casual, mid-scale casual when you think about the quality that we deliver for all the affordability and convenience that we provide.
Gunther Plosch: Good morning, Jeff. And to your question on elasticity, while we have a pretty good understanding which part of the menu are more elastic and which are less elastic to price changes. We’re obviously trying to balance that as best as we can. I can tell you, our flow-through rate on pricing is pretty high. It’s about 85%. So I can tell you that out of gate. Elasticity, for sure, but it’s actually probably less than you think. It’s little bit the floor for 85%.
Operator: Thank you. Your next question comes from Sara Senatore from Bank of America.
Sara Senatore: Thank you very much. I wanted to ask about traffic. You mentioned you’re taking traffic share, but obviously, traffic was negative. And the industry traffic, therefore, seems negative. I know you mentioned positive mix as some of that may be still seeing order aggregation in that type of dynamic. But I was just wondering how you think about this dynamic and its persistence and in particular, given that you’re going to take more price and you’ll still see that mix benefit, implicitly, I guess, traffic could be even more negative in the second quarter. So could you just talk through that, please, and whether there are kind of limits to a ticket-driven check?
Todd Penegor: Yes, Sara, as you mentioned, traffic was negative for us in the first quarter and in the category. And the good news is we held traffic share within that dynamic. But I think there are some unique things that happened during the first quarter. Clearly, it started out with Omicron, a lot of folks staying home. That impacted traffic. You had a lot of weather impacts that start this year versus last year in January and February. And then you had a consumer that had to get adjusted to some of the high inflation that hit especially at the fuel pump when they filled up for that first time in March that they have now adjusted to. So I think some of those dynamics had a bigger impact, outsized impact on traffic in the category in Q1. We are starting to move into the summer months. Our relative value food-at-home versus food-away-from-home, the gap is wide to over 300 basis points of more inflation for food-at-home versus food-away-from-home, which is a positive for us. So I do think as we start to move into the summer months, we start to get more dining rooms open, we start to get staffing in a better position, we start to have more extended hours in our restaurant, that bodes well to start to continue to win in the traffic arena. And as GP said earlier, we’re going to be really smart on our pricing. Where do we take pricing? Where do we deal it back? Where do we have the promotions that we need? Where do we have the high-low menu to make sure that we have our customers back? So we manage through the near-term pressures but still continue to have a loyal customer base on the other side of the near-term headwinds that we’re seeing today.
Operator: Thank you. Your next question comes from Brian Mullan from Deutsche Bank.
Brian Mullan: Hi, thank you. Just a follow-up on the breakfast business in the U.S., if for some reason you weren’t able to quite reach that $3,000 to $3,500 per week target by the end of this year or even if you do, is there a scenario where it could make strategic sense to support that business with continued corporate advertising beyond this year? And I ask that within the context of what is a large and important long-term opportunity for Wendy’s?
Gunther Plosch: Good morning, Brian. Good question. We are actually pretty happy with our breakfast business as we gained market share, both in traffic and dollars in a tough category. The category was down high single digits to actually get growth out of it. We’re pretty pleased with. The plan is that we are having no company investment in 2023 on the U.S. business. We absolutely believe it has enough scale to stand on its own feet. Canadian business, we will definitely have a little bit investment whether – steps down versus what we’re investing in 2022. And for me, the biggest proof point is still our legacy restaurants, right? The legacy restaurants are sitting in the $4,000 to $4,500 range, so more than 10% of sales. I see no reason that in the rest of the country, where we started a little bit delayed with the breakfast entry, we shouldn’t get to the same number. So I view the first quarter results really as a little bump. As Todd said, there is a lot of things to like about our breakfast business. And I don’t think, and we don’t believe it needs incremental P&L investments in 2023.
Operator: Thank you. Your next question comes from Jon Tower from Citi. Your line is open.
Jon Tower: Great. Thanks for taking the question. Just a couple of clarifications and then a question, if I may. In terms of the G&A guidance for the year that’s still intact from last call. And then in terms of the commentary around same-store sales in the U.S. I know last year, we were lapping some noise around calendar shifts 1Q to 2Q and thinking about that on a multiyear basis, how we should think about that ourselves given some of the calendar shifts in the model? And then specific to the question itself, I was hoping you could get into how loyalty users are digging into the brand? And if you’ve seen any shifts I think, Todd, you had mentioned the lower income or excuse me, those consumers that are making about $75,000 and below are coming less frequently than in the past. Are you seeing that similarly play out for the loyalty users? Or are those still running above the rest of the average customer? Thank you.
Gunther Plosch: Good morning, Jon. Just your technical questions on G&A. Yes, the G&A guidance is unchanged at a $250 million to $260 million but within this range, the internal forecast kind of steps down a little bit with some efficiencies. On the SS front, you have a good memory in the first quarter of last year due to the first – due to the 53rd week there was a 2.5% shift that you need to take into consideration as you do your calculation and investment of the business. I think Todd is going to answer the question on loyalty.
Todd Penegor: Yes. On the loyalty front, we were really pleased. We were – the official breakfast, official hamburger of the NCAA March net tournament. We had a lot of awareness out there driving consumers into our app. We saw a nice 10% increase in total loyalty users. We saw a nice 10% increase in monthly active users. And what we’re really pleased with is the folks that become our active user within our app, the frequency increased nicely for those folks during the course of the first quarter. So, once we get folks into our loyalty program, they, as we would have expected, become a much more frequent customer, and that does cut across all demographics. So, we are feeling really good that we have to continue to drive awareness, get folks into the app. It helps speed up the drive-thru, helps drive order accuracy, helps with quickness of payment and then ultimately provides a lot of benefit for us over time as we get all that information to better connect to our consumer on a one-to-one basis. So, a good investment to continue to do moving forward for us.
Jon Tower: Thank you.
Operator: Your next question comes from Nicole Miller from Piper Sandler.
Nicole Miller: Thank you. Good morning. Just a point of clarification, please, on the margin of 14.5% to 15.5%. Is that for the second quarter or the full year? And if the full year, would the second quarter be markedly different? So, I apologize for that clarification. And my question is around market share gains. It’s great to hear about breakfast. When you think about the other day-parts outside of breakfast, where can you win or seed share in terms of legacy QSR, maybe the broader informal eating out market? And actually just curious about convenience stores, for example, kind of what’s happening now and as you take some price, what might happen? And sorry, we should include at-home too because maybe people start to eat there. Thank you.
Gunther Plosch: Good morning Nicole. So, yes, I threw a lot of numbers out there in my margin talk track. So, the guidance for the year is 14.5% to 15.5%. That is a global margin guidance for the year. The U.S. margin is basically 50 basis points higher because of the UK investment of about 50 basis points. The previous guidance was 15% to 16.5% global margin guidance as well. I totally expect – that margin is going to starting to step up in the second quarter. And again, we have seen the signs of this already in Q3 as we took our first price increase as we are taking another price increase in the second quarter, plus in the second half, inflationary pressures go to ease, mainly because of comparisons, we feel comfortable with the margin guidance that we have. Over to you, Todd.
Todd Penegor: Yes. As you think about where do we have the opportunity to continue to build sales. So clearly, as we drive trial, drive awareness and continue to build a strong calendar, not only on disruptive promotions at the breakfast day-part to bring folks in to trial us, but to bring some news with innovation throughout the year, that’s an opportunity to keep growing our business. As we get dining rooms open and have a more seamless digital experience and do the things we are doing with our racks in the restaurant to take some pressure off the drive-thru, throughput at lunch and dinner continue to be opportunities for us to grow. And most importantly, as we continue to expand our hours of operation later into the evening, it’s a big opportunity for us, a process system to continue to grow our business. Relative to where we are taking pricing and what will be happening at C-stores, we do still think we have a nice relative advantage. There is a lot of inflation happening at the grocery store, which means a lot of inflation happening in the C-stores. So, when you think about what they need to do to hold their margins to take pricing, I believe our relative value, our scale and how we are managing things with supply chain puts us in a position to have much better value than the choices that folks would have at a C-store, for instance, with a heck of a lot more convenience with the drive-thru and the mobile ordering that goes along with our experience.
Operator: Thank you. Your next question comes from Andrew Strelzik from BMO.
Andrew Strelzik: Hey. Good morning. Thanks for taking my question. I wanted to ask another one on breakfast. You mentioned that the lowered breakfast outlook was related to the first quarter, not the rest for the rest of year. But it seems like getting consumers to branch out into a new day-part may be more difficult if the spending environment is softer. So, I guess I am just curious for your perspective on that. Maybe you have some evidence that, that would not be the case? And how do you think about the levers and flexibility of the breakfast strategy if it were to play out that way? Thanks.
Todd Penegor: Yes. I think there will be a couple of nice tailwinds. I think early in the quarter, we talked a lot about folks staying at home and the impacts of Omicron. You are starting to see a lot more folks return to the office, feel comfortable getting into their routines, having that mobility really start to pick back up, really gives us an opportunity to showcase our great breakfast. We know it’s still our highest customer satisfaction day-part. We have got great speed of service. We know we get good repeat when we drive the trial to that breakfast day-part. So, we are feeling very optimistic that as folks get out and look at convenience of a hot quickly prepared breakfast on the go, that we can serve that need quite nicely moving forward. We will continue to do things like we have done. The disruptive promotion that we had here in P4 to start the quarter to drive folks to trial our great offering. It’s one thing we will continue to do. And we will continue to innovate both on the food and the beverage front moving forward. So, continuing to bring that news not only drives awareness, but it drives trial and gets folks into the routine and brings in more of the all-family rather than just an individual that’s headed into the office in the morning. So, we think we have got all of that playing out nicely the way our calendar is constructed moving forward with plenty of support to deliver that.
Operator: Thank you. Your next question comes from Brett Levy from MKM.
Brett Levy: Thanks for taking the questions. When you look at the mix and what you are seeing across different cohorts, can you try to unpack a little bit more how much you are seeing in terms of deal transactions, value transactions, just, I guess overall or by the above or below $75,000 cohorts? Thanks.
Gunther Plosch: Good morning Brett. So, the QSR business is always competitive. Obviously, everybody tries to do a little bit of value promotions. We are doing it our way with platforms that we absolutely own, right. We are trying to migrate currently for the user and create lift upside into a $5 Biggie Bag. It’s one of our strategies. You see various activities to obviously attract users into the loyalty database. So, there is a lot of digital offers out there, probably way more than kind of 2 years to 3 years ago. Why do we do this, because we obviously, a digital customer with a bigger average check and lower cost to fulfill the respective orders for us. But I would not characterize the situation as – from a value point of view. We have a good spread of kind of checks between the low-income and the high-income consumer. The low-income consumer that buys 4 for $4 still gets to a pretty decent and respectable check that we make a lot of money on. So, I think we are well balanced. Our promotional approach is balanced. And I think that the category is not kind of same. We are not driving kind of crazy price points that affect profitability.
Todd Penegor: Yes. Lower-income consumer doesn’t make choice has been throughout the quarter, right. The beginning of the pay cycle, it’s nice to trade up to a great everyday offering or major crave offering later in the pay cycle they trade the 4 for $4 or $5 Biggie bag. That’s why it’s important to have those options to make sure that we are there to other back because they are a loyal and consistent customer for our brand.
Operator: Thank you. Your next question comes from Jared Garber from Goldman Sachs.
Jared Garber: Good morning. Thanks for taking the question. I just wanted to move back on two questions, one on digital and then one on breakfast. Digital transaction, I think you said – or rather digital in Canada was about 17% of the mix, while in the U.S., it’s about 10%. So, I just wanted to get a sense of maybe what’s driving the delta in those two markets? And if there is any sort of learnings from the Canadian market that you can bring over to the U.S. and you get that number to accelerate a bit more, or if there is just different – differences in the market that’s driving that organically? And then on breakfast, wanted to just get an update on what you are seeing in terms of your core customer trying that offering. I think the last update you heard was about – I think it was less than 50% of the core customer had tried breakfast. I just wanted to get a sense of what the remaining opportunity there to get your most loyal customers into the day-part? Thank you.
Todd Penegor: Yes. On the digital mix, it’s 10% in the U.S., it’s 17% across international, right. Canadian is a big driver of that business. In Canada, we have a really big delivery business. We have more of an urban footprint in many instances, a great partner with [indiscernible]. We have added Uber Eats. We continue to build out the delivery business to drive the convenience in that market. We did add offers to the experience in Canada, which has helped to accelerate things. But quite honestly, there is more tools that can come to the digital experience in international that are already in place in the U.S. to accelerate international even further. So, we got to continue to drive awareness that you can get food delivered from Wendy’s, whether that’s in the U.S. or international, that we do have a great app, that we do have a loyalty program, and that’s what you saw us to do in Q1 with all the support that we had during the March Madness event. On the breakfast side, we still do have a best preponderance of our customers that join us for lunch, join us for dinner that still have the opportunity to trial us at breakfast. So, we have got a lot under our control to continue to get folks to bounce back to drive awareness at the restaurant level before we even have to start to attack folks across the rest of QSR that are already into the breakfast day-part. And that’s why you will see the calendar, as we have talked about many times on this call, a combination of some disruptive promotions, combination of equity advertising around breakfast, some news that we will continue to bring to the category of the year to continue to make sure that we drive that awareness, drive that trial. Our awareness levels are in a great spot. They continue to be right there with where Burger King is, has been in the industry in the breakfast business for over 30 years, so we feel good about that. We just got to continue to make sure that we built the routine, which we are feeling good that we have got the tools in place to make that happen to have a very successful business that grows for the long-term.
Operator: Thank you. Your next question comes from Jim Sanderson from Northcoast.
Jim Sanderson: Thanks for the question. I just wanted to for you to comment on whether your outlook for UK or broader European development has adjusted given the conflict in Russia? And if you could also remind us what type of unit growth you expect out of the Canadian market going forward? Thank you.
Gunther Plosch: Good morning Jim. So, as you know, Europe is clearly one of our focus areas. It’s one of the few markets where we are doing white space expansion as part of our global growth goal to reach 8,500 to 9,000 restaurants globally. Your question directly, obviously, the Ukrainian war, we are directly not impacted apart from a couple of restaurants in Georgia and Kazakhstan that, but it’s small. It’s not material. It has obviously an impact on inflationary pressures in Europe. Having said all of that, there is huge interest by franchisees in our European expansion plans. We have signed up now several franchisees already for the UK market. They are very excited to join our company restaurant footprint. As you know, we are expecting by the end of this year between 50 and 60 restaurants in the UK, a combination of company restaurants and delivery kitchens, so REEF. So, overall, that is a positive. Overall, for international, for this year, we are expecting about a 20% unit growth rate, mainly focused India, Philippines, obviously, in the UK. We have not given out a specific number for Canada. We might do that at Investor Day, but we definitely are expecting acceleration, again, especially driven by the REEF ghost kitchen where we again penetrate in urban markets where we have no presence at the moment.
Operator: Thank you. Your next question comes from Rahul Gill from JPMorgan.
Unidentified Analyst: Good morning guys. Thanks for taking my question. I just wanted to check on the chicken contract that I think you guys discussed was finalized earlier this year. You said it comes with the cost, but wasn’t this factored into the previous – in the previous high-single digit inflation guide already, or does this have like a cost component in this contract attached to corn or something which influences that chicken cost? And also looking at the 50s and 90s, they look to be stabilizing here. So, I was curious if there are any more drivers you could point us to for the revision to the mid-teens guide for full year on COGS?
Gunther Plosch: Good morning Rahul. Yes, you are right. Chicken did not significantly contribute to our revised inflationary outlook. The revised inflationary outlook was driven mainly by beef. Beef went up significantly. The other several items where we didn’t have coverage yet, that increased sharply. As a result of this, we had to revise our commodity guidance to the mid-teens for the year. I definitely did not expect that, but it moved rapidly on us. And we have taken the appropriate action from a pricing point of view. And as you know, right, we want to do both. We want to be successful on traffic share and dollar share performance. So, we have taken pricing action, but we have not attempted in the short-term to offset all the inflationary pressures with pricing. This is why we are taking the restaurant margin guidance down ever so slightly without changing our EBITDA or free cash flow outlook because we are in this for the long haul. We want to make sure that we are attracting more consumers and continuing our streak of holding or building and expanding our dollar and traffic share in the category.
Operator: Thank you. Your next question comes from Eric Gonzalez from KeyBanc Capital Markets.
Eric Gonzalez: Good morning. Can you talk about maybe the breakfast mix or the average – sales as you exited the quarter? And then maybe the timing of that $16 million in advertising spend that’s planned for the year, was there an opportunity to pull back on that spending in the first quarter as the COVID headwinds became more apparent? And if not, maybe you could just give us some color on the timing of the total advertising pressure for the day-part as the year progresses? Thanks.
Todd Penegor: As you think about our total pressure, not just the incremental dollars that we put in place, but the dollars that we use from the – we have contributions on the ad fund, it’s pretty evenly spread on the day-part. We get way ahead of our marketing plan. So, it’s hard to make those short-term quick adjustments if – as the plans are laying out, the promotions are set in place. So, pretty evenly split. As you think about where our breakfast business has gone, clearly, it was impacted a lot more in period one, period two. As I said, whether folks staying at home with Omicron, starting to see some acceleration into P3. And clearly, as we get into how we lap that big comp that we have a year ago in Q2, breakfast plays a role in that. And with the Buck Biscuit promotion that was out there in P4, that’s contributing to the ability to accelerate our 2-year same-restaurant sales in Q2.
Eric Gonzalez: Thanks.
Operator: Thank you. Our last question comes from Peter Saleh from BTIG.
Peter Saleh: Great. Thanks. I just wanted to ask if you guys could give an update on the new grills that you were installing in some of the company-owned units? Any update there on the labor savings that you are seeing, or maybe menu innovation that you can execute on these grills? And then just lastly, is there a franchisee appetite to implement these as well, or is that something for a later point in time? Thanks.
Gunther Plosch: Good morning Peter. Yes, we are very excited about the double-sided grills, not just we, as the company and franchise, but actually our entire system. We have a pretty strong order book out there for these double-sided grills across the two suppliers that are supplying those. A decent amount has been installed already. And there is a lot of excitement and part in the system about that investment. Your suspicion is right, it actually also allows additional innovation. Obviously, we don’t want to disclose it at that point in time. And so we think it will contribute to better quality, better customer satisfaction. So, it’s really an attempt to do two things. First, increase the food quality of our burgers that have been cooked on the grill and give us a chance to actually free up a little bit of labor because cook times are much, much shorter. So, that’s the reason why we are behind this. To be clear, we are not funding for the system, any of those investments. The franchisees are stepping up and making the investments themselves because they absolutely believe it’s an investment with a great financial return.
Greg Lemenchick: Thank you, Pete. That was our last question of the call. Thank you, Todd and GP, and thank you, everyone, for participating this morning. We look forward to speaking with you again at our Investor Day on June 9th. Have a great day. You may now disconnect.